Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to LivePerson's Fourth Quarter 2024 Earnings Conference Call. My name is Matt and I'll be your conference operator today. At this time, all participants are in a listen-only mode. After the prepared remarks, the management team from LivePerson will conduct a question-and-answer session and conference participants will be given instructions at that time. To give everyone the opportunity to participate, please limit yourself to one question and one follow-up question. As a reminder, this conference is being recorded. I'd now like to turn the conference over to our host, Mr. Jon Perachio, Vice President of Investor Relations. Thank you, Jon. You may begin.
Jon Perachio: Thank you, Matt. Joining me on today's call is John Sabino, CEO; and John Collins, CFO and COO. Please note that during today's call, we will make forward-looking statements which are predictions, projections and other statements about future results. These statements are based on our current expectations and assumptions as of today, March 5, 2025 and are subject to risks and uncertainties. Actual results may differ materially due to various factors, including those described in today's earnings press release and in the comments made during this conference call as well as in 10-Ks, 10-Qs and other reports we file with the SEC. We assume no obligation to update any forward-looking statements. Also during this call, we'll discuss certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP financial measures is included in today's earnings press release. Both the press release and the supplemental slides which include highlights for the quarter, are available on the Investor Relations section of LivePerson's website, ir.liveperson.com. With that, I'll turn the call over to LivePerson's CEO, John Sabino.
John Sabino: Thank you so much, Jon and thank you all for joining us today. Before diving into our results and strategy, I would like to take a moment to reflect on 2024, provide an update on where we are today and share our vision for the company's future. Nearly 14 months ago, I joined LivePerson as its CEO. From the outset, I recognized that this company was built on 3 fundamental strengths. One, we offer a product that delivers real value to our customers and positions us to lead in an AI-driven future. Two, we have a robust list of Fortune 500 customers who value our strategic partnership. And three, we're backed by a passionate team of employees committed to unlocking the potential of enterprise digital conversations at scale. To leverage and build upon LP's existing strengths, we implemented a transformation strategy that focused on 3 core pillars: reinvigorating our go-to-market capabilities with customer-centric focus; two, innovating our product to focus on voice integrations and orchestration while providing flexibility to support a brand's AI vendor of choice; and three, strengthening our capital structure. Throughout 2024, we made significant progress across all 3 of these pillars. Beginning last January and throughout the year, we enhanced our go-to-market capabilities by assembling a new leadership team and implementing best-in-class processes and capabilities. As a result, we have seen notable improvements in retention metrics and win rates which have driven sequential increases in bookings over the past 3 quarters. We continue to innovate our product by introducing several new AI-driven features to our industry-leading enterprise suite. Notable additions include Bring Your Own LLM and Copilot Rewrite which has significantly accelerated adoption of generative AI on our platform which I will detail later. We also launched our Agent Workspace for Voice, seamlessly integrating voice and digital channels with Avaya, with plans to add more voice integrations in the near future. This marks a significant advancement in our overarching voice and digital strategy. Finally, in May, we executed a transformative agreement with Lynrock Lake, significantly enhancing our capital structure and reinforcing our position as a trusted long-term strategic partner. While our transformation is still ongoing, I want to commend the entire LivePerson team for their dedication in advancing these efforts. The groundwork laid in 2024 positions us well for sustainable and profitable growth in the future. Looking ahead, the customer engagement landscape is being redefined, not just by advancements in AI but by the need for intelligent orchestration that transforms data into real business outcomes. Traditional contact center platforms built to static systems of record simply log interactions, leaving businesses stuck in a reactive loop. These systems were never designed to execute on engagement, proactively anticipate customer needs or drive revenue outcomes. Notably, Forrester has recognized this widening gap, highlighting how legacy platforms are falling short in delivering meaningful customer experiences. LivePerson brings something fundamentally different to the table and a purpose-built platform that orchestrates engagement execution and delivers measurable business outcomes at scale. Unlike legacy systems that store and process data in static workflows, our platform operates on top of real-time interactions using AI to turn every engagement into an opportunity for efficiency, satisfaction and revenue growth. To succeed in today's dynamic environment, brands must embrace AI-driven solutions that seamlessly integrate digital and voice interactions, drive automation and deliver measurable business outcomes. For decades, LivePerson has been pioneering enterprise digital customer experiences for the world's largest brands, powering over 10 billion AI-driven conversations annually. Our platform integrates with more than 200 applications while ensuring enterprise-grade compliance, including HIPAA which has helped us gain share in the health care sector, serving some of the world's largest health care companies. Furthermore, our rapid integration of large language models has allowed us to develop competitive products that improve upon existing foundations in customer care, sales and commerce. We continue to innovate a comprehensive suite of new bot automations, live agents and analytics capabilities that position LivePerson as a leader in this space. Our AI has already proven its impact with enterprise customers driving up to 60% in cost savings, boosting CSAT scores by more than 20% and enabling agents to handle 3x more concurrent conversations with our AI-powered Copilot and automation. Our vision for 2025 and beyond is to create a future where brands can engage and inspire their customers with every interaction. We will achieve this by providing enterprises with open, flexible AI-powered workspaces that seamlessly integrate our digital capabilities, eliminating the need for costly disruptive system overhauls, embedding AI into every interaction to leverage our leadership in automation, real-time transcription and agent assist tools and by shifting customer engagement from reactive to proactive, by integrating AI automation at every stage of the customer journey by leveraging generative AI-powered insights, predictive analytics and AI-driven knowledge recommendations. As John Collins will outline in our 2025 guidance, there is still work to be done in stabilizing our base and reigniting growth. However, we are confident that the groundwork laid in 2024, aligned with our vision for the future, positions LivePerson for sustainable profitable growth. Now let me discuss our high-level fourth quarter and full year results. Revenue in the fourth quarter of $73.2 million and adjusted EBITDA of $8.1 million were both above the high end of our guidance ranges. Revenue for the full year of $312.5 million and adjusted EBITDA of $24.1 million were also both above the high end of our guidance ranges. John Collins will provide more detail about our financials shortly but I want to emphasize that we are continuing to deliver on our financial guidance. I also want to highlight 2 factors key to our strategy that are driving these better-than-expected results. First is our approach to generative AI. Enterprise brands are looking for speed, security and agility as they bring AI into their operations. We directly address all 3 needs. Our solution aligns enterprise-grade security and brand-defined AI guardrails with the flexibility to integrate numerous LLMs from multiple vendors and third-party services like Amazon Bedrock. This allows customers to blend and adapt models as their business needs evolve. Finally, we provide robust tuning and training services that drive increased value for brands from their technology investments in generative AI. The second factor key to our strategy is the growing demand for systems of action and intelligence over legacy systems of records. Let me take a moment to explain what we mean by a system of action and intelligence and why this shift is so critical for brands looking to drive ROI from their technology investments. Customer engagements are moving beyond passive data collection and now need to deliver real-time outcome-driven experiences. Traditional systems of record store and organize customer interactions but lack the ability to actively shave, shape and improve customer engagements in the moment. Systems of action and intelligence, on the other hand, intelligently orchestrate customer interactions by leveraging AI, automation, data and real-time insights to create personalized seamless solutions for each customer interaction. LivePerson is uniquely positioned to meet this demand. The shift away from static systems of record has driven recent wins in the market for LivePerson. By orchestrating the right interaction at the right time, we not only improve operational efficiency but also unlock revenue-generating opportunities and foster deeper customer engagement. We expect these trends to continue and I look forward to updating you on further developments in future quarters. Now, I would like to provide additional detail on the progress in our product and go-to-market areas. First, let's discuss our products capabilities launched in 2024 before diving into our initiatives for 2025. In the first half of 2024, we introduced several new AI innovations designed to deliver better customer experience and increase operational efficiency. These include Bring Your Own LLM which allows brands to integrate their own large language models; Copilot Rewrite which refines agent messages for clarity and professionalism; Routing AI agent, a tool that efficiently routes customers' needs to the appropriate resource; and Data Collection AI Agent which makes data collection more efficient, accurate and automated. In the back half of the year, as part of our voice and digital strategy, we launched our Agent Workspace for Voice, integrating third-party voice providers into LivePerson's best-in-class digital agent workspace. This enables brands to now extend our suite of AI capabilities to their voice conversations, including all bot automations, analytics and conversational intelligence. With this, brands can now build and analyze end-to-end customer journeys while supporting and coaching agents in real time across both voice and digital channels. In addition to our voice integrations, we continue to see generative AI usage increase. In Q4, we saw a 17% sequential increase in the number of customers leveraging our generative AI and a 37% sequential increase in conversations using our gen AI suite. This is providing real benefits to real customers. Some examples I would like to share with you are, one of the nation's leading health systems with over 80,000 employees launched an internal AI agent to support its employees on key HR topics, such as benefit policies. Within weeks, the generative AI solution successfully handled and resolved 55% of the requests it received. It is now continuously learning and improving every day. Lexus, a leading luxury automobile brand, offers a unified concierge service built on a network of LivePerson AI agents for routing, knowledge, customer engagement and scheduling. Clients can compare vehicles, book test drives and explore financing on their own time and terms with seamless handoff to brand representatives when the timing is right. The LivePerson solution has resulted in a 10x increase in test drive engagements compared to the company's former chatbot experience. In addition to prior examples that we've shared with Signet, we've recently worked with another globally renowned luxury jeweler that noticed missed revenue opportunities during off-hours. To address this, we implemented our generative AI to engage with customers when live agents were off-line, leading to higher-quality leads, increased average order values and improved conversation rates. LivePerson's innovation going forward will be focused on driving continued adoption of our Agent Workspace for Voice and evolving to become a system of action and intelligence through advancements in generative AI capabilities, voice integration, analytics and unified workspaces. In the first half of 2025, we'll take our second step in our voice and digital strategy, building on the success of the Avaya partnership and launching integrations with Cisco and Amazon Connect. Our product team will also focus on driving the adoption of our open platform capabilities, enhancing integrations with voice providers and commerce platforms and enabling enterprise customers to maximize the benefits of Bring Your Own LLM. Finally, I want to be clear that investing in our technical infrastructure and commercial capabilities remains a priority for 2025. We are making this decision because we're seeing continued demand for our product and potential expansion with our current customer base. While this will impact profitability in 2025, we believe this is the right decision for the long-term success for LivePerson, our shareholders and our customers. I would like to now provide a brief update on our go-to-market progress. A year ago, we faced significant challenges, including limited visibility into our customers' decision-making, leading to higher-than-expected churn throughout the year. In response, we set out to transform our go-to-market motion. We installed a new leadership team, refined our operational processes, engaged with partners and launched a new simplified pricing model. Today, we have visibility into our customers' adoption trends several quarters in advance, allowing us to proactively tailor engagement and plan that maximizes value realization. Additionally, we refined our sales strategy to focus on expanding strategic partnerships. In Q4, we were already starting to see an uplift in partner contribution as a percentage of total bookings. These include several of our largest deals in the quarter. And while it's early, we are on track to reach 35% partner attach for 2025. We're also seeing strong momentum in our Bronze, Silver and Gold pricing and packaging strategy. In Q4, we experienced a substantial sequential increase in closed deals under our new pricing structure with deal volume more than doubling and annual reoccurring revenue increasing by 5x. Notably, a leading automotive finance company upgraded to our Gold package, resulting in a 7-figure renewal. These results have reinforced our strategy and we expect both deal volume and deal values to continue to increase throughout 2025. Changes like these take time to fully realize their impact. And while the desired results for our go-to-market transformation are still materializing, I remain confident about the trajectory. The continued positive trend in sequential bookings in Q1 through Q4, coupled with AI adoption expanding across enterprise customers, positions us well for sustained growth in the second half of the year. To conclude, I want to emphasize that we have exceeded the financial expectations set for Q4 and for the full year. This past year was pivotal for LivePerson in laying the foundation for future growth. To ensure we continue to deliver on future financial expectations, we plan to do 3 things: continue driving our commercial performance and bookings and retention, continue to control costs and improve our capital structure and continue to innovate our product particularly by enhancing our robust suite of AI capabilities, leading to strong adoption of enterprise generative AI while continuing to invest in our technical infrastructure. As I outlined throughout my prepared remarks, the strategic groundwork laid in 2024 has positioned us for sustainable and profitable growth in the future. While it is still early, we're beginning to see gradual improvements reflected in the sequential increases in bookings and renewals. However, as noted on our third quarter call, we anticipate levels of attrition to remain elevated for the first half of the year as we move past the renewal cycle impacted by our legacy issues in the business. Once we are through the end of legacy renewal cycle, with the solid foundation that we have established, I am confident we will experience positive net new ARR in the second half of the year. Now, let me hand over our call to John Collins. John?
John Collins: Thanks, John. I'll begin with a brief update on customer wins, followed by a discussion of our financial performance and guidance. In terms of deals and significant customer wins, the fourth quarter marked our third consecutive quarter of improvement. We signed a total of 39 deals, including 9 new logos and 30 expansions and renewals, translating to a quarter-over-quarter increase in total deal value of 18%. In addition, deal values for new logos were more than double the average over the first 3 quarters of 2024 which we view as another important indicator of improving commercial execution and market demand for our products. Broadly, there were 3 dominant themes in the fourth quarter that influenced our results: first, as John mentioned, increasing demand for AI agents and AI orchestration; second, continuing traction within highly regulated industries, including health care, financial services and telecommunications which collectively represented 80% of bookings in the quarter; third, building momentum with commercial partners which put us on track to achieve our partner-led bookings goals in 2025. Consistent with this thematic view, significant renewals and expansions included a U.S.-based financial services company, a leading British broadcast and telecommunications company, a British retail bank. Significant new logo wins included a deal with a large multinational consulting company to deploy our generative AI suite for enterprise customers in the Asia Pacific region, a deal with a partner in South Africa to support the rollout of digital and automation programs for the region's largest insurer and a partner-led deal at a leading luxury fashion brand to improve sales performance and consumer marketing programs through insights gained from LivePerson's conversational intelligence suite. As for our fourth quarter financial results, total revenue was $73.2 million, above the high end of our guidance range. The improvement above expectations was primarily driven by a favorable timing of deals in the fourth quarter. Adjusted EBITDA for the fourth quarter was above the high end of our guidance range at $8.1 million driven by similar factors contributing to higher revenue and by reductions to our cost structure. Revenue from hosted services was $60.2 million, down 23% year-over-year. Recurring revenue was $68.6 million or 94% of total revenue. Note that with the divestiture of Wild Health last year which was LivePerson's last remaining noncore asset, there is no longer a need to distinguish revenue as B2B or core. All revenue is LivePerson revenue going forward. Further segmenting revenue, professional services revenue was $13 million, down 23% year-over-year. From a geographic perspective, U.S. revenue was $48.4 million and international revenue was $24.8 million or 66% and 34% of total revenue, respectively. Average revenue per customer was $625,000, up 2% year-over-year driven in part by expansions with our largest customers and in part by customer retention. RPO declined to $232 million, consistent with the same factors driving the year-over-year declines in revenue. Net revenue retention was 82% in the fourth quarter, up from 79% in the third quarter. The slight sequential increase was driven by revenue from favorable timing of deals in the fourth quarter. As a reminder, given that net revenue retention is a function of in-period revenue, we continue to expect sequential declines in this metric through the year. Finally, in terms of cash, we ended the fourth quarter with $183 million of cash on the balance sheet, inclusive of the proceeds from the transaction with Lynrock Lake. Turning to revenue guidance. While the positive net ARR we continue to expect in the second half puts us on a path to future revenue growth, the corresponding revenue impact in 2025 represents only a small offset to the larger negative revenue impact in 2025 from customer cancellations last year and this quarter. As a result and consistent with the expectations we shared last quarter, we expect revenue to decline through most of the year before reaching an inflection point for sequential growth by the end of the year. More specifically, for the first quarter, we expect revenue to range from $63 million to $65 million which is a sequential decline of approximately $9 million at the midpoint from the fourth quarter. While the primary driver of this sequential decline is the customer cancellations we discussed last quarter, it is worth noting that favorable timing of approximately $3 million from fourth quarter deals was also a significant factor. Normalizing for this timing, the sequential decline would have been closer to $6 million. In addition, we expect recurring revenue once again to be 94% of total revenue in the first quarter. For the full year, we expect revenue to range from $240 million to $255 million, approximately 93% of which we expect to be recurring. Turning to guidance for the bottom line. For the full year, we expect adjusted EBITDA to range from a $14 million loss to 0 or breakeven. It follows that we do not expect positive free cash flow in 2025. After careful consideration, we believe our guidance strikes an appropriate balance of many competing considerations, including working capital requirements, the state of the capital structure and related constraints and the potential for future cash generation achievable only by following through on the investments necessary to execute our return to growth strategy that we've been discussing for the past 3 quarters. Striking this balance required many difficult decisions, including further reducing our cost structure while planning to approximately double bookings year-over-year. Despite a decline of $65 million in revenue from 2024 to the midpoint of 2025 guidance, adjusted EBITDA is expected to decline only $31 million at the midpoint. We offset the other $34 million decline with reductions to our cost structure. In sum, we believe LivePerson's customers and investors are better served by the company allocating the resources necessary to deliver positive net ARR in the second half which depends not only on our commercial team but also on the technology teams delivering enhanced innovation and platform performance. As for the first quarter, we expect adjusted EBITDA to range from a loss of $3 million to a loss of $1 million. Before taking questions, I'll briefly summarize a few key points. The fourth quarter marked our third consecutive quarter of improving commercial execution. Total deal value was up 18% quarter-over-quarter and new logo deal value was more than double the average over the first 3 quarters of 2024. We are seeing increasing demand for AI agents and AI orchestration, traction for LivePerson as a leading solution for large enterprises in regulated industries and growing interest from partners. These are 3 key themes influencing our results and validating our strategy. With 3 consecutive quarters of sequential bookings growth and improvement in other key commercial metrics, we expect to see continued improvement in the business in 2025. And with that, we can move to questions.
Operator: Great, thank you. [Operator Instructions] Our first question is from Jeff Van Rhee from Craig-Hallum Capital Group.
Jeff Van Rhee: Just a couple for me. First, on the partners, I just want to make sure I understand, your goal is 35% partner attach in '25, if I got that right. So are you saying you expect 35% of bookings value to be driven by partners? Just maybe clarify what that term is so I can understand what that means for '25. And then what was the predecessor number for '24?
John Sabino: Yes. Commenting on where we see line of sight -- Jeff, this is John Sabino, I'm sorry. 35% is our total target bookings value. So that's what we're looking at. We're seeing steady improvement from where we were this year. I don't believe we did that number in the past but we're giving a target of what we're shooting for in 2025.
Jeff Van Rhee: Can you give me a magnitude sense of how much of an increase is? Because obviously, I wanted to get some more color on the Cisco, Amazon comments and some color on how Avaya is trending.
John Sabino: Yes. It's definitely more than 2x of what we're seeing now. It's more than that. So the -- as we've discussed, the partner network was pretty nascent and we're now starting to see that improve and contribute to the overall performance of the company.
Jeff Van Rhee: Yes. And then maybe just talk to the Avaya integration and announcement, kind of how that relationship is trending versus expectations and then just thoughts on Cisco and Amazon in terms of timing and go-to-market there.
John Sabino: On the Avaya partnership, we are going in the right direction. We've closed over a 7-figure deal with Avaya. We have a number that are in the pipeline as we speak and we've agreed upon target accounts and markets. We've even seen where we've partnered with Avaya and defeated another CCaaS vendor who was an incumbent from an acquisition. So we've been actually -- with that partnership, we've actually been able to help Avaya retain customers as well as us. So that partnership is going in the right direction. The partnership with Cisco and Amazon Connect is an extension of the overall strategy of the company where we believe voice is an important part of the digital connected customer experience. So having that data to inform both customer experience and engagement and personalization as well as driving some of the AI capabilities that we have are continuing forward with that strategy. So by expanding with those 2 other providers, it allow -- it gives us basically the ability to get to the TAM of almost 65% of voice calls that are out there.
Jeff Van Rhee: Helpful. On the S&M incremental spend, a couple of questions there. Just can you quantify how much incremental spend you're going to be putting into S&M? I mean obviously, I think you're addressing the decision you've got to make as opposed -- do we drive for EBITDA to get to some coverage ratios that make refinancing the debt easier? Or do we not focus on that but more so focus on driving top line growth? And I understood your message to be here, look, that is our decision. We're going to hammer down on S&M. So just the process there in coming to that conclusion and then how much incremental spend are you talking about?
John Collins: I'll start here...
John Sabino: Yes, exactly, Jeff...
John Collins: Broadly speaking, Jeff, there's not incremental investment relative to 2024. Rather, as we thought about the reductions in the cost structure that I mentioned in my prepared remarks, we left more in S&M but there was an overall net takeout or reduction in cost. It's just how much we left in relative to other business units as we thought through the areas where we could afford the reduction and still make our 2025 plan possible.
Jeff Van Rhee: Got it. Okay. And then just along those lines and I'll let somebody else jump on, just the evolution of the thinking in terms of the debt situation. Obviously, you did the step 1 transaction with Lynrock but the goal is to take out the existing debt and sort of delever through that path. Any updates, any changes in strategy, any time lines? Just any color there would be great.
John Collins: No update to provide at this moment in time. No change to the strategy either. I expect that there'll be developments as we progress through the year.
Operator: [Operator Instructions] And our next question here is from Michael Latimore from Northland Capital Markets.
Mike Latimore: The gross margin ticked up sequentially a good amount. Is that a sustainable number?
John Collins: It is largely influenced by the reduction in certain consultants that were assisting us with cloud migration and general cloud operations in addition to the reduction in labor from our Gainshare portfolio. As you know, we continue to reduce the size of that portfolio and specifically the labor component. So with less labor in the business today, margins have expanded. That said, as we look forward to 2025, there will be some pressure on gross margin tied to the cloud migration and new costs associated with being on GCP in particular. So I would expect, broadly speaking, it to come down from what was reported in Q4.
Mike Latimore: Okay. Got it. And then I know you're guiding for attrition to continue through midyear. Like what percent of your customers or percent of revenue has officially gone through that renewal cycle at this point and what percent left?
John Sabino: That's a good question. JC, if you have numbers that are more accurate than a roundabout amount that I could put out there, I'd appreciate you jumping in with that first.
John Collins: Well, broadly speaking, as we've described over the last few quarters, we expect the current renewal cycle or the legacy renewal cycle that John spoke to in his prepared remarks to be ending in the first half of 2025 and that the majority of the customer losses that we had kind of signaled or messaged during the third quarter call will take place in the first quarter of this year. So the rest of the year should be lighter in terms of customer attrition and really reach more normalized retention levels that is aligned to our expectation to produce net ARR in the second half.
John Sabino: And it's a significant -- of course. The renewal cycle does represent your customer base going through a renewal with you and impacted over a course of 15 to 18 months of the renewal cycle.
Mike Latimore: Yes. Great. And just last one. You highlighted as one of the values of your product is the customer does not need to do a system overhaul. By that, do you mean they basically keep their contact center infrastructure in place? Is that what you mean by that?
John Sabino: Exactly. What we're seeing is when it's a full-scale CCaaS replacement, CRM replacement, we are being seen as an extremely attractive option that they can keep some of those components in place and then get best-in-class digital alongside what they're using today, correct.
Operator: [Operator Instructions] If there are no further questions, I'd like to turn the floor back to management for closing comments.
John Sabino: We have no additional comments at this time.
Operator: Great. Thank you. This does conclude today's teleconference. You may disconnect your lines at this time. Thank you again for your participation.